Operator: Good afternoon, ladies and gentlemen, and a warm welcome to the Analyst call. [Operator Instructions] Let me now turn the floor over to Elke Brinkmann.
Elke Brinkmann: Good afternoon also from my side, and a warm welcome to the conference call on the annual results '23/'24 of Aurubis AG. I am here with our CEO, Toralf Haag; and our CFO, Steffen Hoffmann, who will present the figures for fiscal year '23/'24 and current developments at Aurubis. After the presentation, the floor will be open for questions. [Operator Instructions] Before we start, a brief reminder about the disclaimer on forward-looking statements. Today's capital market presentation contains forward-looking statements about Aurubis plans and expectations. These statements involve risks and uncertainties that could cause actual results to differ naturally from those anticipated. Let me now turn the floor over to Toralf Haag.
Toralf Haag: Thank you, Elke, and good afternoon, ladies and gentlemen. It's a pleasure to meet you by phone. Since I haven't met most of you in person, I want to introduce myself briefly, Toralf Haag. I have been at Aurubis 20 years ago already as the CFO and now since September 1 as the CEO and happy to be here. Yes, Aurubis is a strong company, and the past fiscal year was an eventful one. Despite the market developments, the execution of strategic progress, and the biggest maintenance shutdown in Hamburg, the company achieved a robust result again. Furthermore, we achieved safety and security improvements at the sites. And lastly, the new Executive Board team is in place now at Aurubis with my colleague, Steffen Hoffmann, but also with Inge Hofkens and Tim Kurth. During this eventful last year, we stayed focused and made good progress on our strategic agenda. Most moved significantly forward with the existing strategic projects and have already transferred 5 out of the 11 strategic projects into ramp-up or operations by now. We managed to generate an operating EBT of EUR 413 million. Even with significantly increased capital employed, Aurubis return on capital employed slightly increased to 11.5%. The net cash flow came in at EUR 537 million, showing the earnings potential of the business this year. With this net cash flow, we were able to finance substantial parts of the company's growth investments during the last fiscal year. Based on this year's earnings and taking the strategic agenda investment plan into consideration, the Supervisory Board and the Executive Board will propose a dividend of EUR 1.50 per share to our shareholders at the AGM in April 2025. This is EUR 0.10 per share higher than last year's dividend and a sign of Aurubis' financial strength. Looking at the next slide, safety and security. Following the exceptional events of 2023, plant security and occupational safety continue to be the Executive Board's top priorities. Let's take a look at plan security. We completed a comprehensive analysis of planned security optimization potential and identified around 400 measures. Roughly 1/4 of those with high impact were already implemented in the past fiscal year and an additional 150 are scheduled for 2025. We have invested a middle double-digit million amount in heightening security since September 2023. Key objectives of these measures to raise plan security and better safeguard precious metals. A comprehensive employee protection program was launched internally. It includes risk analysis of critical roads, meaning those who could potentially be approached by criminal networks. For work safety, we rolled out a program to transform occupational health and safety with 3 action areas: number one, management culture, introduced and establish safe conduct and practices; number two, risk management and safe site processes; and number three, safety management, effective tools for safety management. Our goal is to create a definite safety culture with effective safety management. Looking on the next slide on the criminal activities directed against Aurubis in '22, '23 that were digested in this year from a financial point of view. As shown on the previous slide, we have made significant progress in heightening site security. Yet the criminal procedure on the investigation will continue. The first prosecution has taken place and the people on trial have been sent to prison. Aurubis internal investigation is now complete and all relevant information and findings have been passed on to the State Official of criminal investigations, [indiscernible]. The corresponding authorities will continue to investigate intensively. This is just a brief update for the capital markets. Please understand that we are unable to comment on the specific findings or any possible legal proceedings at the moment. Important is that Aurubis significantly improved site security. And now let's focus on the production figures from the group. You see that on the next slide, the operating performance of the primary and secondary assets in the group was rather stable, with just slightly less throughput of primary and secondary input materials. We did, however, face a longer-than-anticipated ramp-up phase at the Hamburg site after the major shutdown with strategic investments in the anode furnaces. Despite lower volumes of secondary input material, Aurubis again processed well above 1 million tonnes of recycling materials. Cathode output was in line with a slightly reduced throughput of input materials, also slightly below previous year's figures. The tank houses in the group showed stable performance overall. Cathode output was in line with the slightly reduced throughput of input materials, also slightly below previous year's figures. The tank houses in the group showed stable performance overall. Sulfuric acid production was again in line with concentrate throughput, so also slightly below the previous year figures. All in all, the asset reliability on a group level was satisfactory. Let's look at the next slide at the market developments throughout the fiscal year. You can see that market dynamics showed some shifts over the course of the year. The copper and metal prices showed some volatility, while precious metals like gold and silver at safe havens for investors shows positive momentum. During the reporting period, the copper price ranged between $7,800 and $10,800 a tonne, reflecting the macroeconomic developments. Let's have a look at the various markets. Aurubis experienced a good supply situation in quantity and quality of concentrate with increased TC/RCs during the reporting period despite the significant drop of the spot market. This again reflects Aurubis' diversified supplier base with long-term contracts and the flexibility to adjust to market conditions. As of today, Aurubis anticipates reduced pricing on the concentrate market, hence, reduced TC/RCs. Aurubis' concentrate supply situation is covered well into Q2 of the fiscal year '24/'25. So its supply strategy remains intact. Looking at the recycling market. Over the course of the fiscal year '23/'24, we have seen sufficient availability of scrap materials, the global sourcing markets with good refining charges during the reporting period. CRU estimates an average RC of EUR 340 per tonne over fiscal year '23/'24 for copper scrap #2 without logistics. This compares to EUR 365 in the previous year, indicating a slight reduction. RCs for complex recycling materials showed a similar reduction in terms during the reporting period. Looking forward, our production sites are already supplied with material well into the second quarter of fiscal year '24, '25. Sulfuric acid.  The sulfuric acid market shows slow and steady improvement throughout the '23-'24 fiscal year. The return of some fertilizer manufacturers and stable demand from the European chemical industry met subdued European sulfuric acid production with increased price levels during the reporting period. Price levels came in slightly below previous year's levels, but remained at good levels for Aurubis. Given the current market situation, we expect a slightly improved earnings contribution from asset sales in the next fiscal year. The latest market development are signaling a slight upward trend. ACP.  We expect ongoing strong demand for copper in Europe. Therefore, the level of the Aurubis copper premium is expected on a stable level in 2025.  U.S.  dollar, Aurubis has a long U.S. dollar position of around approximately USD 560 million in the current fiscal year '24-'25. Within the scope of our hedging strategy, we hedged 60% of the U.S. dollar exposure at [ $1.093 ] for the fiscal year '24/'25 and around 30% at a rate of 1.094 for the fiscal year '25/'26. And now I hand over to Steffen Hoffmann for further details.  Steffen?
Steffen Hoffmann: Thank you, Toralf.  Good afternoon, and good morning to all of you wherever you are located. And also from my side, a very warm welcome. Moving from the market to the financial figures for financial year 2023-'24. Revenues came in stable compared to the previous year, driven by higher copper and precious metal prices in the second half of the year, but offset by lower sales of shapes. Gross profit stood at EUR 1.7 billion and was significantly above last year's figures, which were impacted by the well-known one-offs. This resulted in a robust operating EBT of EUR 413 million, which is a 19% increase over the previous year's figures. Main drivers were slightly increased TC/RCs for concentrates, a significantly higher metal result, higher earnings from the Aurubis copper premium, coupled with ongoing high demand for wire rod, lower energy costs and income from the sale of the Buffalo site. These effects were counteracted by significantly decreased sulfuric acid revenues, considerably lower income from refining charges and higher costs, e.g., ramp-up costs for strategic projects. Based on the rolling 4 quarters of the EBIT, this results in a ROCE of 11.5%, representing a slight enhancement despite much higher capital employed due to the strategic investments undertaken in the fiscal year. On the next chart, come to the gross margin. We achieved a gross margin of more than EUR 2.1 billion in total, and the generation was again well balanced across our income components, which is yet another sign of the resilience of Aurubis business model with its various earnings drivers. On the metal result, stable production, asset performance, higher metal prices for copper, gold and silver, in particular, and the financial impact of the last year's one-off effects led to a significant increase in the metal result year-over-year. On TCs and RCs, additionally, ongoing good market conditions for concentrate and slightly subdued terms for recycling materials led to a reduction of gross margin earnings year-over-year. Finally, on premiums and products, last but not least, in absolute terms, gross margin earnings from premiums and products came in slightly above prior year levels, while they came in slightly below prior year figures in relative terms. This is due to the significant increase of the metal result compared to the previous year. Short deep dive on CSP. In the Custom Smelting and Products segment, operating EBT reached EUR 446 million, which is a significant improvement. This uplift compared to the previous year is in large part due to the last year's one-off effects that were allocated to the CSP segment. As already mentioned, concentrate throughput was subdued as a consequence of the planned maintenance shutdown in Hamburg and the asset's subsequent slower-than-anticipated ramp-up phase. Adding these parts together, the return on capital employed reached a comparatively very good 19.6% and hence, exceeded the previous year's 13%. In the Multimetal Recycling segment, MMR, operating EBT came in at EUR 79 million and as such, substantially below the previous year figures. Overall, operating performance in the segment was stable with slightly lower availabilities of input material, which led to reduced throughput in the segment, while tank houses in the segment showed good operating performance. The modernized tank house in Lunen is now operating at increased capacity, supporting the increase in cathode production versus the previous year levels. Along with market factors, the result for this segment was influenced by the ramp-up costs for Richmond. And as a result of the lower EBIT and the increased capital employed due to investments in the segment and to Richmond in particular, the segment's ROCE came in at 5.6%, which is below prior year figures. On the cost piece, total group costs increased by 4.6% versus last year with some movement between the expense positions. On the positive side, at a group level, energy costs declined further and the reduction in costs for consumables and external services was achieved. These beneficial effects were negatively outweighed by higher personnel costs, which reflect general wage inflation and staff expansion related to our growth projects as well as one-off effects for the compensation payments for the former Executive Board members. Additionally, Aurubis had higher expenses for legal advisory as well as consultancy fees in connection with the criminal activities during the financial year 2023-'24. Moving on to the walk from EBITDA to net cash flow. In financial year '23-'24, Aurubis generated an operating EBITDA of EUR 622 million, where working capital showed favorable development of plus EUR 49 million. This was counteracted by minus EUR 70 million in taxes and minus EUR 64 million for other positions. These consist mainly of valuation effects of noncash-related positions. In total, net cash flow amounted to a healthy EUR 537 million and well in the guided range. I think it's fair to say that Aurubis is very robust and capable of converting profits into cash flow from operating activities. Let's now have a look at the cash flow bridge. I mentioned the net cash flow of EUR 537 million, which is well within the guidance we gave between EUR 500 million and EUR 600. We used EUR 726 million to pursue our growth strategy. Here, capital expenditure for Richmond represented the biggest single item, which will lead to higher EBITDA contributions in the medium term. With moderate interest payments and the dividend payment for the last fiscal year, free cash flow amounted to minus EUR 280 million. At the end of financial year '23-'24, Aurubis had a solid cash position of EUR 322 million. The key performance indicators show a healthy and robust picture. Our equity ratio was at 55.9% and remains well above the target level. Debt coverage will gradually pick up as the strategic investments are progressing and are partially financed by ongoing operating cash flows. Even with this pickup, Aurubis was still very much in line with the guided range of below 1.0 during the investment period and well below the longer-term target. CapEx was as planned on a high level at EUR 855 million. More than 50% of the EUR 1.7 billion envelope that is related to the strategic project is behind us. The substantial increase in capital employed is a consequence of ongoing strategic investments and increases in our asset base. Despite continued high investment for strategic projects, the Executive Board and Supervisory Board are proposing a slightly higher dividend to shareholders due to the good financial results achieved in the reporting period and the company's financial strength. It is important to us that we ensure that our shareholders participate in the company's success. We, therefore, suggest a dividend of EUR 1.5 per share which represents a dividend payout ratio of 20% of the group's operating EPS. This would correspond to the dividend yield of 2.3% and based on the share price of EUR 65.85 on September 30. Let's move on to the next chart. Let's move on to the outlook for the markets for financial year '24-'25. On concentrates, as already widely discussed with the capital markets, the concentrate market is expected to be tighter as the result of expansion in the smelter industry. Despite the tight markets from a contractual perspective, we are already 90% supplied with concentrates for the new fiscal year and are only partially dependent on the benchmark. As of today, there is not yet a benchmark as a reference known in the market. On scrap and recycling materials, for the copper scrap market, we anticipate stable supply with RCs at stable levels. The copper scrap market remains a short-term market defined by short-term developments and factors like collection rates, metal prices and Chinese imports. The availability of complex recycling materials like shredder, PCBs, residues, slacks and ashes is also expected to stay at stable levels. We foresee equally stable RCs for those materials as the market is less volatile due to framework contracts. Our production plants are supplied with recycling materials well into Q2 '24-'25. On sulfuric acids, based on stable demand from the European chemical and fertilizer industry, we expect a slightly favorable price trend at the beginning of financial year '24-'25. Looking forward, there could be some potential for price changes once free capacity volumes from the Asian region are available for export markets. On Aurubis copper premium, the ACP is based on the expectation of ongoing strong demand for copper in Europe. Therefore, the level of the Aurubis copper premium is expected on a stable level in 2025. Coming to our products, rod shapes and flat-rolled business, we continue to foresee high demand for wire rod driven by the infrastructure sector, though demand from the automotive business will remain low. We expect shapes to be stable. The flat-rolled product sales are expected on lower levels due to the sale of Aurubis Buffalo. Overall, we've already secured substantial volumes with good prices for calendar year 2025. In line with our announcement on September 24 and based on our last assumption for both earnings drivers and cost components, Aurubis is providing a forecast for the group result and continues to expect an operating EBT of between EUR 300 million and EUR 400 million and an operating ROCE of between 7% and 11%. For the Multimetal Recycling segment, we expect an operating EBT of between EUR 50 million and EUR 110 million and an operating ROCE of between 4% and 8%. The anticipated ROCE is subdued due in large part to the growth investments in Richmond. For the Custom Smelting and Products segment, we expect operating EBT of between EUR 310 million and EUR 370 million and an operating ROCE of between 14% and 18%. In these figures, the maintenance shutdown in Pirdop in May, June '25 with a negative EBT effect of EUR 34 million is already included. And with this, I'd like to hand over to Toralf again.
Toralf Haag: Thank you, Steffen. We move on to our strategy, and this slide that you see now is not new for you, so I'll be brief. The Aurubis strategic path will continue as announced to the capital markets. We are committed to deliver on the announced projects and we'll continue to invest in our smelter network and especially into the recycling business. Let's have a closer look at some of the milestones achieved with the strategic investments and the further outlook of our investment plan. As said before, 5 out of the 11 strategic projects have now been executed. During the reporting period, we succeeded in delivering on the approved projects. The project teams at all our sites work to fulfill what they have promised and handed the new facilities over for ramp-up or operations. Subsequently, we are now in the ramp-up phases with the ASPA and BOB projects, while the new [indiscernible] Industrial Heat Phase 2 and the solar park expansion in Pirdop are operating and will start contributing to the bottom line. And as a side note, the [indiscernible] inauguration of the BOB project will take place in Olen next Tuesday. Let's take a look at the precise timeline of the projects still in implementation and the corresponding start of operations over the coming years. Executing the approved strategic project is one of the key priorities for the Executive Board and for Aurubis. As was mentioned, the first projects were implemented during the year. After a ribbon-cutting ceremony Aurubis Richmond in September, we will ramp up the first module of the 2 step-by-step now during the running fiscal year '24, '25. The timeline for the start of operations of the strategic projects are clearly laid out for the coming fiscal year and such for when the first revenue will be generated. Let's analyze how project corresponds with our CapEx spending. You see that on the next slide. In the reporting period, as mentioned, we saw the peak of CapEx spending for the current strategic road map. We spent EUR 855 million in total, with the majority spent on realizing our growth projects. Looking forward to the start of fiscal year '24, '25, we will have another year of high spending before the group's CapEx levels will normalize again. We will continue to invest in our baseline to improve efficiencies and strive for higher production asset reliability. Let's move forward to have a look at the additional earnings contribution from the strategic spendings and corresponding the exchange in free cash flow at midterm. The business cases for our strategic investments remain promising. We expect the additional EBITDA contribution from the wrapping up of the strategic projects of up to EUR 260 million over the next 3 to 4 years. Projects that have already been implemented like ASPA, the solar park expansion and BOB will contribute slightly positively to the EBITDA in the current fiscal year, but will be outweighed by the anticipated ramp-up cost of around EUR 50 million for the strategic projects. The strong cash generation of the existing Aurubis business continues. Our ambition is to significantly strengthen the free cash flow profile in the midterm. Moving on to our efforts in sustainability. Over the past years, Aurubis -- over the past year, Aurubis has made further progress in reducing CO2 emissions for its copper cathodes. When it comes to sustainability, the environmental footprint of our production processes remains in a leading position compared to the global average. Our absolute emissions for Scope 1 and 2 have also been further reduced by 55,000 tonnes. We succeeded in decreasing the Scope 2 emissions by sourcing and generating more renewable energy. Moving forward, we will continue to enhance our recycling quota for refined copper cathodes as we sustainably transform raw materials into metals. Finally, I would like to summarize what is important for the new Executive Board team of Aurubis. We are committed to deliver. We aim to improve the occupational safety and site security as our highest priority. They serve as a basis for good working environment and our attractiveness as employer and safeguard our inventories. We have delivered on the first project and are putting the investment plans into action for an improved earnings situation and a more positive free cash flow profile again for the company's proven business model with balanced income components. We will also continue to ensure that investors participate in the company's earnings profile. Last but not least, we continue to focus on reducing our absolute Scope 1 and Scope 2 CO2 emissions, following up on the first successful steps towards this reduction. With these final words, I would like now to hand back over to Elke Brinkmann.
Elke Brinkmann: Thank you, Toralf and Steffen. Before we start the Q&A session, I would like to provide you with an outlook of the next event. Our Q1 report will be published on February 6, followed by the AGM on April [ 3. ] With this outlook, we would like to thank you for your attention, and I would like to ask the operator to take your questions.
Operator: [Operator Instructions] The first question comes from Bastian Synagowitz of Deutsche Bank.
Bastian Synagowitz: I will start off on your project again. And my first question is basically just on the growth projects, which you have been moving from your CapEx agenda for '26  and '27, where I saw at least CapEx load for the growth part has been coming down. And then maybe also related to that, what has been driving the increase by the base of the baseline CapEx by EUR 50 million? Those are my first questions.
Toralf Haag: Well, as a new management Board, of course, we looked at the CapEx plan for the next years for the midterm plan, we did a more focused approach with some major CapEx projects. And for the baseline investment business, we took, I think, a more conservative approach in order also to secure the reliable execution of our improvements. So -- but all in all, there have been no major changes.
Bastian Synagowitz: Okay.  So there's not one big item which you removed away even though the overall absolute amount of growth CapEx has come down a lot. It's fairly shifted out.
Toralf Haag: That's correct.  We didn't take out one single big item. It's more a fine-tuning exercise.
Bastian Synagowitz: Understood.  Okay.  And then just on -- to stay on the CapEx side. I mean, of course, there have been quite a few escalations in budget over time. I guess you're now coming in with 2 pairs of fresh eyes. So have you had the chance to conclude your, I think, second guess of the budgeting for both CapEx and maybe also the operational profile and targets of these projects? Would you still subscribe to those? Or is this due diligence process still basically ongoing?
Toralf Haag: Well, Steffen and I, we did, of course, that was one of the first tasks we did. We did due diligence on the CapEx project, first of all, on the budget and the timeline, but also on the contribution. And of course, there have been some changes here and there, but no major changes. And we are both convinced that the major strategic projects are very important for the further development of the Aurubis company and that the returns will come in the magnitude as previously proposed.
Bastian Synagowitz: Okay.  Understood.  Then my last question is on the start-up losses and also the phasing of the contribution. So with regard to the, I guess, EUR 50 million start-up losses, which you've been highlighting and you've been including in your guidance, how shall we be thinking about the phasing of this? Will this be very upfront loaded in 2024, '25? And then we can already expect like a net contribution in the last quarter? And -- or should we be those -- should we expect those start-up losses to drag on and potentially also continue to see some even in the course of the next financial year?
Steffen Hoffmann: Bastian, it's Steffen. So on the ramp-up cost for the strategic projects, you quoted EUR 50 million for the current -- for the new fiscal year '24, '25. And I think we are all aware that more than the lion's share of that is related to Richmond. This is basically relatively evenly now shared during -- over the quarters. Just as another data point, Q4 last fiscal year was around EUR 15 million. And now here, we talk about EUR 50 million divided by 4. So let's say, it's -- as I said, it's evenly distributed over the 4 quarters of this fiscal year.
Bastian Synagowitz: And then -- and I know it's early, obviously, to think about the next fiscal year, you just guided for the upcoming one, but is there still going to be more start-up losses which are going to drag into the following fiscal year? Or do you already expect a net contribution from your growth agenda?
Steffen Hoffmann: I mean we are happy to discuss the new fiscal year with you at this moment. I would not yet be prepared to go in further details on the fiscal year '25, '26. We can commit, as Toralf did, EUR 260 million in the next 3 to 4 years as an EBITDA contribution from all the strategic projects. We can also confirm the message on EUR 170 million EBITDA effect after the ramp-up of Richmond. And we, at this stage, would not want to be more precise on the exact phasing of the ramp-up.
Operator: The next question comes from Christian Obst, Baader Bank.
Christian Obst: First, I have a question concerning the Buffalo intake, if I got it right from your report. The EBT contribution was 32% as a cash flow contribution  EUR 97 million. So does that mean that the entire free cash flow for the year was minus EUR 400 million approximately. Is that the right assumption?
Steffen Hoffmann: Christian, this is Steffen. So on Buffalo with -- first of all, we are very happy with the Buffalo deal. We found the best owner for Buffalo with Wieland. We agreed contractually on a nondisclosure policy, but you did your job and you found a few figures in the annual report. So we are here a bit in the limbo between an annual report item that we have to disclose, but also a contractual obligation. So I think you did your math well.
Christian Obst: Okay.  And then when it comes to legal and consulting, so these were more or less one-off costs for all the theft and fraud issues. Can you give us a number how much that was in the last fiscal year?
Steffen Hoffmann: Yes, for sure, Christian, that was around EUR 15 million for the various consultancy pieces related to the fraud incidents.
Christian Obst: So going back to the cash flow and free cash flow. So when we start with this minus EUR 400 million into the new year, is there some statement where you put some kind of a buffer because of the uncertainty when it comes to TC/RCs and so on and so forth that we can expect some more of a free of cash flow generation from working capital in the year to come?
Toralf Haag: I mean, generally, what the pieces that we are giving to the market is that we want to achieve an operating free cash flow before investments of around EUR 500 million to EUR 600 million. And as the Hamburg still impacted the asset base end of September, you might have seen the asset base is a bit high due to the lower ramp-up. Obviously, our goal and target is to work ourselves a bit down from this asset base. This should help the free cash flow line. We would not give a more detailed guidance now on free cash flow. The ambition is obviously that we do everything in the company's hands to improve significantly the free cash flow profile in the midterm. And we want to also take a certain step of improvement in this fiscal year, but would not want to give a more concrete figure-wise guidance.
Christian Obst: Okay.  And then a question concerning battery recycling, of course, you were currently in an ongoing testing phase, let's put it that way. But the other frame for EVs, especially in Europe, it's a little bit like luster of course. We see the insolvency from [indiscernible] also. Does this framework change anything in your plans you have with battery recycling?
Toralf Haag: Well, as you know, we have invested quite a bit over the last year in this field to further develop our technology. We've also invested in a pilot plant. Right now, we continue to invest in this field on a, I would say, on a low level. in order to stay ahead of the game in the technological development. But we are watching the market developments carefully before we would do a further large investment in new operations. So we stay ahead of the game technological-wise with capacity expansions, we are currently careful because of the quoted, from you quoted market development.
Christian Obst: Are you in closer talks with any kind of possible joint venture partners or other partners?
Toralf Haag: Yes.  We have talked with quite a few potential partners for technological leadership. But as you might understand, we can't -- I don't want to disclose these partners right now.
Steffen Hoffmann: And if I might add, you were adding in your question this word closer. So Toralf confirmed general talks, but we think we are not in close talks.
Operator: The next question comes from Maxime Kogge, ODDO BHF.
Maxime Kogge: So coming back on Bastian's question on the contribution from new projects this fiscal year. Previous management had guided for EUR 100 million approximately of contribution. But it seems in your comments that you are only targeting minimal contribution. And on top of that, there will be EUR 50 million of ramp-up costs. So -- how do we reconcile the 2 statements? And what is driving this big decrease there?
Toralf Haag: Maxime.  Well, I mean, I just want to repeat what we said. We see ramp-up costs for strategic projects of EUR 50 million. I think the IR team also communicated that before at least I arrived on October 1. So that was, I think, a language the team was using in September. And we confirmed the midterm additional EBITDA impact of EUR 260 million positive within the next 3 to 4 years. We also said today that in the midterm, we don't want to be more specific than that. Perhaps you are referring to statements that have been made at an early stage, probably not this year, neither by this management nor by the former one this year. But I understand your question, but please appreciate we would not want to go further than that. But we are very sure and very definite that there's super good strategic projects in place that will give their positive impact as we've just outlined it.
Maxime Kogge: Okay.  No, that's fair.  And yes, regarding the guidance, 2 months have passed since you issued it, so in September -- end of September. Usually, when setting the guidance, you target the midrange. And now 2 months later, we've seen metal prices coming down, especially copper. I think the rest of the drivers are relatively stable. So are you still targeting the midpoint of the guidance at this stage?
Steffen Hoffmann: Yes.  Thanks for that question, Maxime. I mean, obviously, when you give a guidance, there's a reason why you give a range of EUR 300 million to EUR 400 million. And obviously, you also want to be able to comfortably achieve the guidance. So this is a well-reflected guidance. And perhaps as you were rightfully mentioning the point that already we are somewhere in the first quarter. Just a few thoughts on where we are in the first quarter of the new business year, fiscal year. From today's perspective, we've made a good start to the new financial year. The improved performance of the plants at the Hamburg site compared to the fourth quarter of last fiscal year. We see higher sulfuric acid prices in Q1. And obviously, we all see higher metal prices, particularly for gold and silver. So we think this could -- should have a positive impact on the Q1 results. So we are quite happy looking into the first weeks of this year. And we also should be because if you look at the kind of the quarterly profile from an EBT perspective, we would assume that Q1, Q2 relatively speaking, in terms of looking at all the 4 quarters, Q1 and Q2 should be a bit stronger because obviously, Q3 will be impacted by Pirdop by the shutdown, where we gave the indication that the shutdown impact would be around EUR 34 million [ EBT. ] So Q1, Q2 stronger, Q3 impacted by Pirdop of shutdown and then Q4 on a more normal level than Q3. And as I said, Q1 so far, we are happy with what we are seeing.
Maxime Kogge: Okay.  And just last follow-up on this one, yes, the previous management used to give some indications on the energy costs. This year, I think they were relatively flat on last year EBITDA actually. I also see your comments in the German press fretting about the higher network shortly. So what are your assumptions there? Can we go for some stability again this year? Or should we expect an increase?
Steffen Hoffmann: Well, as we said in the speech at the beginning of this call, on energy cost, we would expect them being slightly up versus last year, which would be basically driven by CO2 and coal prices. That's the rough indication we can give at this stage.
Operator: [Operator Instructions]. So moving on the next question was from Alex [indiscernible] but I believe she press 9 star again, so please feel free to press it one more time to enter the queue again. But in the meanwhile, the next question is from Cornelis Kik of Hauck Aufhäuser.
Cornelis Kik: I was just wondering whether you could maybe discuss the scenarios you see for the TC/RC benchmark. When do you expect the TC/RC benchmark to be set actually? And maybe you could discuss the case whether there would be a possibility that there's no benchmark set. And because in the past years, we've typically seen the benchmark set, I think, end of November, maybe October even. And then also, if you could maybe quantify the one-offs. I know you shed some light on the consultancy fees, but also maybe for outgoing management, the payments there, that would be very nice.
Toralf Haag: Yes. Yes.  On the TC/RCs, what we currently hear and see is that it could take some more weeks until a benchmark is set here. So we don't expect the short term. And on the overall market development, we see some slight improvement of the TC/RCs from the lowest level, but we don't expect significant improvements during this fiscal year due to the competitive situation, mainly from China.
Steffen Hoffmann: Cornelis.  There was a second part in your question. And I think for us here, at least the connection was not so good. So I think you were asking about compensation for the former Executive Board members. And I think you were asking about consultancy fees, but we did not completely get it.
Cornelis Kik: Yes, I was asking about the overall quantification of the one-off. So you obviously discussed the consultancy fees range of EUR 15 million, but maybe you could quantify the other one-offs that impacted this fiscal year, so including outgoing management compensation.
Steffen Hoffmann: Basically, it's the 2 one-offs -- the 2 items, I would label one-off, EUR [ 15 ] million consultancy fees for the fraudulent cases and EUR 9.5 million for compensation benefits for the former Executive Board.
Operator: Next question is from Jason Fairclough, Bank of America.
Jason Fairclough: I just wanted to double check on the whole sort of TC/RC flow-through thing. So you've given guidance for next year. Are you able to share with us the assumed TC/RCs that feed into that guidance?
Toralf Haag: So we cannot give you an exact figure, but since we have a good mix in our coverage of also long-term contracts with our suppliers. Our average TC/RCs are higher than the current spot rate, of course. But we cannot give you the exact figure for competitive reasons.
Jason Fairclough: Just to follow up, if I could. The -- you said that you're covered for concentrates for the first half of the year. How do you think about giving guidance for the full year when you still haven't contracted your concentrate for the second half of the year?
Steffen Hoffmann: Jason, this is Steffen. I mean we gave 2 statements, right? The one was that from a supply perspective, we are covered until Q2. And we also said that from a contractual perspective, we are covered by 90%. And we also usually make the point, and you heard us saying that quite often that obviously, not all our contracts that we have are linked to the benchmark. Many of the contracts are linked to the benchmark, but not all of them. And those that are linked to the benchmark do not necessarily have only a one-to-one direct linked to the benchmark. So there's quite some kind of translation effort one would need to do. As Toralf said, we cannot give you a figure of what our assumption is. But qualitatively, we did say that the concentrate market is expected to be tighter. And I think you could translate that we think that TC/RCs are more under pressure than last year. That would be qualitatively baked into the guidance. Needless to say that you know that we love also to discuss with you that besides TC/RCs, there's also quite some other interesting pieces on the Aurubis robust business model that can counteract a bit the pressure on TC/RCs.
Jason Fairclough: Okay.  Steffen Look, just something breaking on the wires right now. So we've just had an announcement on benchmark copper processing fees. So this is apparently between Antofagasta and Jiangxi Copper, and they've signed at $0.2125 and $0.02125 per pound. So I guess basis that as a benchmark, how does that make you think about your full year guidance?
Steffen Hoffmann: That goes in line with the mix that we have of long-term contracts and spot market into our guidance. So it fits into our guidance.
Operator: Next comes the follow-up of Bastian Synagowitz, Deutsche Bank.
Bastian Synagowitz: I just wanted to come back on your CapEx profile and also the earnings contribution part of your growth, and apologies for that. So just having done the math, I think you've been removing about EUR 400 million of growth CapEx from, I think your -- I think, planning for the next 4 years. But then you still say that you aim to hit the EUR 260 million earnings contribution over the next 3 to 4 years, which obviously I do struggle to reconcile. So could you just help us to solve that equation, i.e., like how can you still hit the EUR 260 million if you're spending EUR 400 million less on growth versus what you were indicating before?
Steffen Hoffmann: Yes, Bastian, I think I don't know whether you took into account that perhaps there is more behind us that you initially had thought. So as Toralf has said, we have not eliminated any of the important projects. So that's why we are confirming the EUR 260 million. So kind of online, I cannot exactly -- I have not exactly the calculation that you referred to. But I think we have a bit more behind us than you might have had. This will not explain the overall delta, but perhaps a certain part of it.
Bastian Synagowitz: Okay.  Okay.  So basically, part of what you optimized maybe were the sort of non-profit-yielding projects. And then I guess you probably also had a bit of a profit buffer in your assumptions, I suppose.
Steffen Hoffmann: This is correct.
Operator: [Operator Instructions] At the moment, there are no more questions in the queue. So let's just wait a couple more moments. All right. Thank you very much. There seem to be no more questions in coming. So I'm handing the floor back over to the host.
Elke Brinkmann: Thank you. The IR team will, of course, be happy to answer any further questions you may have. We would now like to close today's conference call, and thank you for your attention. We wish you a pleasant rest of the day and a wonderful pre-Christmas period. Thank you, and goodbye.